Operator: Welcome to today's MasTec Second Quarter 2011 Earnings Conference Call, initially broadcast on August 4, 2011. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Lewis: Thanks, Melody. Good morning, everyone, and welcome to MasTec's Second Quarter Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP measure can be found in our earnings press release from yesterday or on the Investor Relations section of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose, followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last for about 60 minutes. Once again, we had another great quarter, so we have a lot of good things to talk about today, so I'll now turn the call over to Jose, so we can get started. Jose?
Jose Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2011 Second Quarter Call. Today, I will be reviewing our second quarter results, as well as providing my outlook for the markets we serve. First, some second quarter highlights. Before I start, it should be noted that during the quarter, we had a $29 million pre-tax gain running through the other income line. That's $0.20 per diluted share after-tax, related to the April 29 exercise of our option to buy the remaining 2/3 of EC Source that we do not already own. My comments today exclude this noncash gain. Having said that, revenue for the quarter was $751 million, that's a $256 million increase over the prior year's quarter, of which $218 million or 85% was organic. EBITDA was $71 million, a 53% increase over the prior year's quarter. Earnings per share was $0.31 versus $0.18 in last year's second quarter, a 72% increase. Net income was up $12.2 million, an 83% increase and backlog was up nicely to $2.9 billion and the bid and project pipeline remained strong. I'll cover that later. In short, we had a very good second quarter. Our 52% revenue growth was broad-based, with every one of our markets up double digits with the exception of renewables, which was down. Historically, we have enjoyed an increase in business in the third quarter. This year, that spike happened earlier than expected, with a significant ramp up late in the second quarter. That ramp up allowed us to beat previous guidance with revenues exceeding guidance by $75 million or 11%. That ramp up, while a testament to our diversified business model and an example of our future growth potential, had an impact on both working capital and costs. For example, during the second quarter, our team member count actually increased by almost 2,400 people. While we have been in a very challenging market environment and we expect it to be a little choppy, there are significant signs of improvement and demand for our services is strong. We have seen, over the course of the last few months, a meaningful increase in large project opportunities affecting a number of our markets. Our customers' confidence level for 2012 are increasing, and we expect there to be a greater number of opportunities compared to the last few years. Now I would like to cover some industry specifics. Our communications revenue grew 40% over last year's second quarter, to $393 million. This increase was driven by double-digit growth in all of our communication markets, including install-to-the-home, wireline and wireless. In our install-to-the-home business, revenue from DIRECTV was up 23% for the quarter. This was better than we expected, and we anticipate a strong finish to the year with the conclusion of the NFL lockout. Late in the second quarter, we acquired Halsted, a service provider for DIRECTV covering New York and a number of other states in the Northeast. This is our first geographic expansion with this customer since 2006. We have fully integrated this acquisition into our existing DIRECTV business and feel we can make significant improvements in both their service delivery and financial performance. Halsted was operating in very low margins, and while we don't expect much, if any, contribution for 2011, we do expect significant margin enhancements in 2012. Our wireline business experienced growth for the third consecutive quarter, driven by broadband stimulus funded projects. Awards have continued to increase and the pipeline of project remained strong. We are currently bidding on over $150 million of projects, and we continue to believe this will be a source of growth for the next few years. Shifting to wireless, we experienced tremendous growth during the quarter, with the revenues almost doubling those of the year ago. This increase was higher than expected, causing us to hire a significant amount of resources to meet the schedule and demands of our customers. This year, the work plan has been more level loaded. Last year, most of our wireless activity was completed in the second half of the year, but this year, we are expecting volume in the second half of the year to be fairly consistent with the first half. This will allow us to better manage our cost structure and revenues. In 2012, we expect significant growth, driven by LTE or 4G and our recently awarded multistate generator project. In addition, during the quarter, we closed on a small tuck-in acquisition that will expand both our geographic and customer footprint. The wireless market continues to afford us great opportunity. The expansion of LTE or 4G, which we believe will be adopted by not just the U.S. major carriers, but eventually by most of the carriers in the world, should provide us with solid, long-term growth opportunities. Now I would like to cover our utility business. Our utility revenue grew by 72% over last year's second quarter to roughly $347 million. The increase was driven by double-digit growth in our distribution, transmission and pipeline businesses, offset by a reduction in our renewable revenues. As it relates to our transmission business, revenues were up due to our EC Source acquisition and growth of about 41% in our legacy transmission business. We have guided to approximately $200 million in transmission revenues in 2011 with about half of that coming from EC Source. The bid pipeline is very strong and includes a number of very large opportunities. We have recently been awarded a number of projects from key customers, including PG&E, Con Ed and National Grid. The outlook for our electrical transmission business is strong. Moving to renewables, 2011 has been a little bit more challenging than we expected. In 2011, a number of our customers are new to us, and we saw a shift this year from our traditional customer base of large developers to smaller developers. This was partly based on large developers having planned for a soft 2011. While we are currently working for a number of smaller developers and their projects are on track, we have seen project delays and cancellations after projects have been awarded to us. We even had a developer who had his negotiated power purchase agreement with a public utility canceled by a state public service commission. This has led to a softer first half and looking forward, a softer third quarter than we expected. The good news is that we have seen a dramatic change in activity levels for 2012. A number of large developers, traditional MasTec customers, are now significantly accelerating wind projects for late 2011 and 2012. We have, over the last 2 months, been given indication of award on nearly 750 megawatts with hundreds more under negotiation. Many of these projects will begin in the fourth quarter and complete sometime in mid-to late 2012. We are confident that we will now enter 2012 with our highest ever renewable backlog. With respect to solar, we continue to work on a number of large opportunities and believe we have a chance of starting a significant project before year end. Our oil and gas pipeline business had another excellent quarter, with revenues more than double that of last year's second quarter. We are now substantially complete on the Ruby pipeline project. Revenue for that project was approximately $88 million in the quarter compared with $122 million in this year's first quarter. Excluding revenues from the Ruby pipeline, our pipeline business was still up over 45%, compared to last year. During the quarter, we were awarded approximately $160 million worth of new projects and backlog today in this business is roughly equal to where it was in last year's second quarter before our kickoff of the Ruby project. Almost 60% of our pipeline revenues for the quarter was driven by shale work and our pipeline of new shale work remains very strong. Shale basins everywhere are expanding capacity. For example, production in the Pennsylvania Marcellus Shale is expected to grow by almost 800% over current levels by 2020. And the demand for building the infrastructure for the transportation of the gas continues to grow in tandem with production of this clean, domestic energy resource. We have also seen an increase in the number of large, non-shale related projects. We are currently bidding or negotiating a number of large Ruby-like opportunities. We are excited about the activity we are seeing in the pipeline business and expect it to be an area of growth for us for the years to come. In summary, we had an excellent quarter. More importantly, our future remains bright. We are excited about the number and size of the opportunities we are now seeing in a number of our end markets. Our breadth of services, our brand and our commitment to working safely with a high level of quality are now much more recognized by our industry than at any point in our history. While we are pleased with our results and the progress we have made, we continue to strive for improvement. From the execution of the opportunities ahead to our continued focus on margin improvement, we feel MasTec's best days are still ahead of us. I would now like to turn the call over to our CFO, Bob Campbell, for the financial review. Bob?
C. Campbell: Thank you, Jose, and good morning. Today, I'm going to cover 4 areas. Second quarter financial results, earnings guidance, cash flow and liquidity, and I will have a few remarks about our capital structure and expanding our bank credit facility. Once again, we had another very good quarter as a part of what should be a very good year. As Jose mentioned, second quarter results reflect the impact of exercising our option to purchase the 67% of EC Source that we did not already own. EC Source is our entry into the large project, extra high voltage electrical transmission market. Exercising this option resulted in a noncash remeasurement gain related to our initial 33% investment in EC Source in 2010. The pre-tax gain was $29 million or $17.7 million after-tax or $0.20 per fully diluted share. In order to have more meaningful year-over-year comparisons, I've excluded this $0.20 per share other income item from all of the earnings numbers in my remarks. Therefore, I will be discussing adjusted earnings figures, which exclude the remeasurement gain. The adjusted numbers are in the tables attached to our press release. The Q2 highlights are as follows: Q2 revenue was $751 million, up $256 million or 52% versus last year. Q2 organic or nonacquisition revenue growth was up $218 million or 44%. So we have had organic growth of at least 35% for each of the last 4 quarters. Q2 adjusted EBITDA was $71 million, compared to $46 million a year ago, an increase of 53% and adjusted EBITDA is up 60% year-to-date. Q2 adjusted EBITDA margin was 9.4% versus 9.3% last year. Adjusted fully diluted earnings per share was $0.31 compared to $0.18 last year, an increase of 72%. We are very excited about the EC Source transmission acquisition, but it was $0.01 diluted in Q2. And finally, we have raised our earnings guidance, again. In summary, Q2 was another good quarter and the outlook for 2011 and beyond continues to be strong. Now for the Q2 details. Q2 revenue of $751 million increased by $256 million or 52% year-over-year. That's MasTec's highest quarterly revenue ever. Organic or non-acquisition revenue growth was $218 million, a 44% increase, and it was pretty broad-based. Pipeline revenue more than doubled in the second quarter, excluding the impact of the Canadian Fabcor acquisition. Pipeline in total was up about $130 million in Q2 and about $75 million of the increase came from the Ruby pipeline project. Our shale work around the U.S. continues to grow nicely. In fact, pipeline revenue was up about 45% without Ruby and without the Canadian Fabcor acquisition. Wireless revenue in Q2 was up about $85 million or almost double last year, representing continued strong growth in the 3G upgrade process, and with the coming 4G LTE upgrade cycle and the new AT&T multistate generator project, we should be busy for years to come. The small tuck-in acquisition that closed in Q2 did not have a significant impact on our wireless results. Our electrical transmission business now gets much larger after closing the EC Source acquisition on May 2. Our transmission and substation revenue, including EC Source, was up 125% from Q2 last year. Install-to-the-home revenue continues to surprise us with better-than-forecasted growth. Our Q2 revenue was up 23% and that was all organic growth. While we are excited about serving a significant part of the Northeast market via our Halsted acquisition, the acquisition had no impact on Q2 because it closed with a June 30 effective date. Our telecom wireline revenue and electrical distribution revenue were both up in Q2. That's the third quarter in a row that telecom wireline has been up and the second quarter that electrical distribution has been up. Jose mentioned that the broadband -- mentioned the broadband stimulus work that is helping our telecom wireline growth. To be fair, both businesses, while currently up, are still well below the levels of 2 or 3 years ago. Second quarter gross profit margin was 14.4% versus 15.7% last year as a result of the following factors: Higher fuel costs, contractual discounts to AT&T and higher commissions in our DIRECTV marketing business, all of which we mentioned for Q1. Also, we had some inefficiencies related to handling increased volume in wireless and lower margins in our renewables business. Higher fuel costs -- regarding higher fuel costs, the negative impact was about 80 basis points net of fuel surcharges. Q2 depreciation and amortization expense of $18.6 million was up $4.4 million from Q2 last year, reflecting higher CapEx and growth in fixed assets and higher intangibles amortization for the recent acquisitions. Depreciation and amortization, as a percent of revenue, dropped from 2 .9% down to 2.5%. Net interest expense for Q2 was $8.3 million compared to $7.3 million last year, mostly due to the new phantom or non-cash interest costs associated with our convertible note exchange. However, as a percent of revenue, interest dropped down from 1.5% down to 1.1%. Our G&A expense was $38 million compared to $31 million a year ago. As a percent of revenue, G&A dropped from 6.3% down to 5% and that's our lowest second quarter G&A percentage ever. Our trend line regarding G&A has been very good. We have been improving as a percent of revenue for almost all of the last 14 quarters, with just a couple of the quarters flat. To summarize what happened in Q2, we had terrific and higher-than-forecasted revenue. Revenue was up for 52%. Our gross margin percentage was down for the regions I mentioned, and all other costs dropped as a percent of revenue. Therefore, EBITDA margin of 9.4% was up slightly, 0.1 compared to Q2 a year ago. I mentioned earlier the 53% increase in adjusted EBITDA for the quarter and the 72% increase in adjusted fully diluted EPS. It's also worth noting that Q2 adjusted net income was up 83%. For the second quarter of 2011, the 10 largest customers were AT&T, 24% of total revenue; DIRECTV, 20% of total revenue; El Paso Corporation, 12%, that's our Ruby pipeline work; Energy Transfer, 4%, they're a shale pipeline customer; Talisman Energy, 3%, they're a shale pipeline customer; DCP Midstream, 2%, they're a shale pipeline customer; Ridgeline Energy, 2%, they're a renewables customer; CAYMAN Energy, 2%, they're a shale pipeline customer; Chief Oil & Gas, 2%, they're also a shale pipeline customer; and Verizon 1%. It's good to see Verizon back in our top 10. Regarding diversification, our top 10 customers now include 1 satellite television customer, 2 telecom customers, 6 pipeline customers and 1 windfarm customer. We look forward to having electrical transmission customers make our top 10 list. Let me talk for a minute about our revenue mix. We split our revenue into 2 categories. First, we have a very large base of generally recurring revenue coming from what we call master service agreements and similar contracts. And for Q2, that was 57% of total revenue. And second, we have revenue from one-time nonrecurring construction projects. And for Q2, that was 43% of revenue. Therefore, we have a very large and pretty stable revenue base for Master Service Agreements and similar contracts. More disclosure about our contracts is in our 10-Q. At June 30, our backlog was $2.9 million and that's an 18-month backlog number, the comparable number for Q2 a year ago was $2.2 billion, and it was $2.6 billion last quarter. Please note, that well over 50% of our revenue comes from master service agreements or other similar contracts, and our backlog includes an estimate of the next 18 months of revenue from those contracts. Now let me talk briefly about our cash flow, liquidity and capital structure. Net cash flow provided by operating activities was $5 million year-to-date compared to $28 million a year ago. And at June 30, cash was $78 million and our liquidity was $188 million. A year ago, cash was $69 million and our liquidity was $183 million. We define liquidity as unrestricted cash plus availability on our bank revolver. Looking at cash flow and cash usage for the quarter, we had a spike and growth of accounts receivables and inventory that negatively impacted cash flow from operations, and we did make 5 acquisitions. Regarding accounts receivable, our Q2 days sales outstanding or DSOs, were 70 days as compared to 58 days in Q1. The last 2 quarters have been under our current DSO goal of 60 days, due to good collections, but also some unusually favorable payment terms on large projects. Some of the Q2 DSO increase is the result of shifts in customer and project mix, and some relates to a backlog of wireless projects that need to be closed out and approved for payment. We expect to improve DSOs by year end, but we will likely be above our 60 day stretch goal. We have $17 million in capital expenditures in Q2 and $32 million year-to-date. We have raised our estimate of full year 2011 CapEx to $50 million, reflecting current needs and the impact of the 5 acquisitions that we closed in Q2. To summarize, our expected cash flow characteristics, I would say this: Adjusted full year EBITDA continues to grow nicely at $290 million. DSOs likely to be in the 60s, beats many of our peers. CapEx of about $50 million this year seems modest for a company our size. Burnout payments will be down significantly from last year at about $45 million and cash interest well under $30 million is also reached. Therefore, our cash flow should be strong again this year despite having to pay cash taxes now, now that we have exhausted our federal NOLs. As a quick capital structure summary, at quarter end, we had $840 million in equity, $424 million of total debt, only $345 million in net debt, that's net of cash, and we expect to have $290 million of 2011 adjusted EBITDA. Therefore, all of our capital structure ratios remain in very good shape. We are currently exploring the option of extending our bank deal for 5 more years, upsizing it and changing it from an asset-based to a cash flow-type credit facility. The interest rate, subject to a grid, is expected to be better than our current deal and likely in the range of LIBOR plus 200 basis points. Covenants should be less restrictive than our current deal. We expect that the size of the facility could be in the range of $500 million compared to the current facility, which is $260 million. And we estimate that availability under an amended credit facility might be in the range of $400 million as of the closing date compared to about $125 million with our current facility. Now let me share with you our thought process regarding extended -- extending and upsizing our bank credit facility. We may be dealing with the extension of our credit facility much earlier than its May 2013 maturity to take advantage of today's very attractive bank market. Our current facility size is $260 million and while it has no outstanding draws, or while it had no outstanding draws at June 30, it does support about $100 million in letters of credit. We are exploring upsizing the credit facility to one in the range of $500 million for the following reasons; one, the potential pricing and terms are awfully attractive; two, we are a rapidly growing and dynamic company; three, we have been acquisitive and we'll remain opportunistic regarding acquisitions; four, a larger facility may give us another option regarding the 2014 maturity of our convertible notes; and five, we expect that the unused line fee for an amended credit facility could be in the range of 35 basis points subject to a grid compared to 75 basis points in our current deal. So it would be reasonably inexpensive to carry a larger and at times undrawn facility. Potentially obtaining an upsized credit facility in the range of $500 million at favorable economics and terms is nothing more than normal capital structure management. As we noted in our press release, we are again raising our full year guidance. We now expect revenue of a $2,875,000,000, adjusted EBITDA of $290 million and adjusted fully diluted EPS of $1.27. 2011 revenue of $2,875,000,000 is an increase of 24% over 2.3 billion in 2010. 2011 adjusted EBITDA of $290 million is a 20% increase over $240 million a year ago. And adjusted EPS of $1.27 is a 21% increase over $1.05 last year. The tax rate on our adjusted earnings in our 2011 guidance remains at 39% and amortization of acquisition-related intangibles is $15 million. Now let me cover Q3 guidance. We expect Q3 revenue of about $775 million compared to $632 million last year. That's an increase of 23%. We expect EBITDA of $82 million compared to $73 million last year, that's an increase of 13%. We expect fully diluted EPS of $0.36 compared to $0.35 last year, that's an increase of 3%. Now let me offer a little color about our increased guidance. Our comps for Q3 and Q4 are pretty tough because we had an extraordinary second half last year helped by the Ruby pipeline project. So we feel really good about our outlook for the second half of the year. Our guidance reflects an up quarter for Q3 and a good fourth quarter. EBITDA margins will be down somewhat in the second half of the year compared to last year for many of the same reasons that I discussed for Q2. However, we expect renewables margins to rebound in the second half of the year, and we expect wireless margins could gradually improve after some Q2 inefficiencies, resulting from the increased volume. Also, as Jose mentioned, the Halsted DIRECTV acquisition is a little bit of a fixer-upper. It should be a very good acquisition for us over time, and while it will add to second half revenue, it likely will not contribute much in earnings until 2012. Jose mentioned some of the encouraging levels of bidding activity in our markets, which gives us early optimism for 2012. Regarding share count for EPS purposes and the noncash interest expense on our P&L, I suggest that you refer to Footnotes 2 and 9 in the 10-Q for details to our calculations. Also for your information, we issued 5.1 million shares for the EC Source transmission acquisition on May 2, which will be in our share count from that date forward. For your models, I would use about 90 million shares for Q3 and Q4 and about 88 million shares for the full year of 2011. Please note that the share count can go above the levels I just mentioned if our stock price continues to go up. The increased share count would come from additional dilution related to our convertible notes. As an easy rule of thumb, you need to add 300,000 to 500,000 shares for every dollar increased in our stock price. With our recent convertible note exchange on 94% of our converts, we can now elect to pay the principal and/or the premium in either cash or stock at our sole option. Our current intent is to pay the converts principal in cash and the in-the-money premium in stock. If you struggle with the convertible note EPS accounting or the noncash spent on interest expense related to the convertible notes, give Marc Lewis, our VP of Investor Relations, a call and he can walk you through the calculations. In summary, we had another nice quarter in the midst of a soft economy. We are very encouraged by our organic or nonacquisition revenue growth and by our broad-based revenue and EBITDA growth trends. We expect a very strong year, driven by strength in wireless, pipeline, install-to-the-home or DIRECTV and electrical transmission. And we believe the outlook for 2012 is clearly better. That concludes my remarks. Now let me turn the call back to the conference operator for Q&A.
Operator: [Operator Instructions] We'll go to Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital: Jose, EBITDA margins sequentially are expected to go up 100 basis points, give or take, and Bob gave nice color on sort of some of the things that will happen in the second half of the year. I'm just wondering about the confidence level and more details about where the improvement will come from. How much of it will be fuel cost subsiding a bit versus renewable margins going up or the wireless business getting better in terms of the efficiencies?
Jose Mas: Well, Andy, I don't think we're really counting on fuel costs, subsiding fuel is generally going up and down a little bit, but it hasn't changed much here in the last few months. So I don't think that's where we're really drawing from as we look at Q3 and Q4. I think there's a couple of things to note. Obviously, we talked about our wireless business and some of the challenges we had with meeting the demands in the second quarter. So we fully expect that as the volume somewhat levels out there and the growth isn't astronomical, we're going to do a better job of managing that, have a lot more efficiency in our business model. I think the other thing that you've got to take into account is we just closed on EC Source in the second quarter, so they begin to play a bigger role in the back end of the year, and we've talked all along about where we think transmission margins are compared to the rest of the business. So I think it really is the things Bob talked about, maybe adding the EC Source transaction at the back end of the year and renewables getting a lot better in the fourth quarter as their business really picks up.
Andy Kaplowitz - Barclays Capital: Just my other question is around the natural gas pipeline business. It appears that even without long-haul, shale activity is leading to growth. How do you view it over the next year, Jose, in the sense that let's say that in the long-haul projects, you can get pushed to the right a little bit, can you grow the business just with shale or do you need the long-haul projects as well?
Jose Mas: Well, we can absolutely grow the business. We can grow the shale business. The is the question is can the growth in the shale business offset the revenues that we generate from the long-haul pipeline projects that we saw in late 2010 and in the first half of 2011. The answer is we think we can, but with that said, we fully expect to be doing long-haul projects in 2012.
Operator: Next, we'll go to Alex Rygiel with FBR Capital Markets.
Alexander Rygiel - FBR Capital Markets & Co.: One of your peers has had difficulty in managing the profitability of their pipeline business once larger projects have rolled over. Can you address your ability to forecast the profitability of pipeline business over the coming 3 to 6 months as Ruby comes to an end?
Jose Mas: We can. One of the big difference is, I think, that MasTec is, we've been a player in the shale fields for a long time. It's been a key part of our business for multiple years. We think we're a leader in that business across a number of different shale plays. We're very active in not just one shale, but in multiple shales. We think we have a very good market share percentage in the different shales that we play. So I think we have an enormous amount of experience and enormous amount of history as it relates to our nonlarge project pipeline business, so we've got incredibly good history and detail around where do we think the margins are in that business. So our confidence level is very high as it plays into the longer pipeline, the long-haul business. The question becomes, when do projects kick in and what's the timing of that. So we built that into our back end of the year plan, and we're very comfortable we can achieve the margins targets that we put up.
Alexander Rygiel - FBR Capital Markets & Co.: And also can you talk a little bit about international? Obviously, you're a little bit more aggressive now up in Canada, but in addition to Canada, can you talk about other international markets that you could be looking at, and what business segments?
Jose Mas: MasTec's changed. Right? If you look at our company over the last 4 or 5 years, we are extremely diverse in the services that we're offering. I think for the most part, we're still a domestic-based company, but I think we operate in some business segments today that lend themselves very well to expanding internationally. And I think when I look at our portfolio of businesses and you look at what it takes to build and deploy large scale wireless projects, what it really takes to deploy a large pipeline project or even a renewable project and what's happening in those 3 businesses, not just in the States, but across the world and we think that most major carriers in the world are going to go to 4G. I think the U.S. is somewhat early to 4G, where I think we were late to 3G. I think that's a big difference in dynamics that gives those companies that are participating in the 4G rollout in the United States opportunities for international expansion. When you look at what's happening with some -- with natural gas in general across the world, you're seeing some very large natural gas pipeline being built in some different international markets as well as renewable projects that are really starting to kick up internationally. So we're not on the mindset or in the middle of a plan to dramatically grow our international presence, but we are looking at international projects, and we are being approached by a number of our customers that are going international and asked us to follow them. In those cases, we're looking at it and if it makes sense, then we think we can do it effectively. We are absolutely considering doing that.
Operator: We'll hear next from KeyBanc's Tahira Afzal.
Tahira Afzal - KeyBanc Capital Markets Inc.: I guess my first question is in regards to the large opportunities you see, didn't you mention that earlier on? Could you give your commentary and update on I guess more publicized ones that you might be able to talk about? #1 on the pipeline side XL Keystone job positioning and incrementally what might have changed for you as a company there? And #2 on a couple of the large projects that you are seeing on the transmission side, I assume you might be bidding on something under Frontier [ph] and the deepest [ph] lines from the West Coast. And really talk about perhaps the electric transmission side in terms of perhaps capacity tightening and what that could imply for you guys.
Jose Mas: So a lot of questions in that one question to hear, but I'll try to summarize. I think, we've kind of taken the approach in the past that we don't like to discuss individual projects for a lot of different reasons. So we're not going to do that, but what I will say is, and we'll start with pipeline because it's really where the question started. We are seeing a number of opportunities of large scale projects that are currently in queue, either in the process of being -- or either already bid or in process of being negotiated. And we're either bidding or involved in negotiation in a number of very large projects in the pipeline side of the business, and that's about all I'll say there. Our level of confidence is pretty high as it relates to that business and our ability to get large projects for 2012. As it relates to transmission, there are a number of large projects across the country that are bidding, that I think have been in queue for a long time, and we are participating in those that we feel we have the best chance of winning. We're still confident that we're going to win another large sized type project over the course of the next 6 to 9 months. We think that the capacity constraints in that business are beginning to build. Obviously, a lot of work has been awarded. Hopefully, pricing follows, and I think at some point it will. So I think our competitive position there is exactly where we expect it to be at this time.
Tahira Afzal - KeyBanc Capital Markets Inc.: As we look into 2012, and I know it's too early to comment as of yet. But you look from all these businesses, it seems most of them are going to be growth more in next year. What would you say in terms of year-over-year growth as you look out from right now? What end markets do you think are going to be the greater growth opportunity for you and we should focus on?
Jose Mas: I think first, we're in a very fortunate position. No question that we feel really good about our prospects and as we kind of detailed out, we actually have really high hopes, almost across the board and all of our businesses. But from a pure dollars and cents are things that can really move the needle, and there's really a lot of them. It could be the renewable side of the business. We think there's going to be a considerable ramp in 2012 versus where 2011 was, starting with the wind business and obviously, we're getting tremendous traction there. We think solar has the ability to actually play a much bigger role in '12 and the dollars there are big, so it could really move the needle. We have our BlueFire project that we didn't really discuss today, but it's out there, and we're still confident that, that's a project that at some point will go forward. Those are all significant projects that any or all significantly move the needle. When we look at transmission, obviously, when you look at the size of the transmission projects that are being awarded, projects there move the needle. When you look at our wireless business, we expect continued growth in 2012, based on what's happening in that industry with 4G. So we look -- and then in the pipeline business, a number of large opportunities out there with our associated and growth in shale and with new large projects added, 2012 could really be a great year. So I think I guess the short of it is, we're in a very fortunate position. And we don't need everything to hit, but obviously, as things begin to hit in our back end of this year, we start hopefully getting awarded projects. 2012 becomes a lot more clear and really could be a fantastic year.
Operator: We'll go next to Peter Chang with Credit Suisse.
Peter Chang - Crédit Suisse AG: The cost and efficiencies, you touched upon what fuel costs impacted the quarter by, I think it was 80 basis points. Have you guys gone through the exercise of what the DIRECTV commission increases, the wireless pricing discounts, the subcontractor wages and maybe what acquisition costs, what those -- all those line items impacted the operating margin by in the quarter?
Jose Mas: Peter, I don't think we have a number to share, but I don't think the numbers are really different in the ones we discussed in the first quarter. So for a lot of those issues in Q1, we talked about, about an 80 basis point deterioration in margins related to the DIRECTV sales business, along with some of the wireless discounts that we gave. You add in 80 basis points of fuel, and you're probably looking at about 160 basis points on a year-over-year comparison related to the items that I think Bob laid out.
Peter Chang - Crédit Suisse AG: On the wireless business, that business in the first half of the year has essentially doubled or more. Comps are getting tougher in the back half. How should we be thinking about the growth in that segment considering AT&T or well, first of all, considering your performance thus far, and then AT&T's bullish comments on investing in both 4G and 3G infrastructure for the remainder of the year?
Jose Mas: Couple of things, I think embedded in our guidance, we don't have some of that commentary that AT&T made. I think AT&T made some pretty direct comments about capital spending for the back end of the year, and what it was going to mean to them. Other than the public comments that they've given, we don't have a lot of visibility on that. So we're kind of looking at our business irrespective of that. What we did say earlier in the call today is we do expect the second half of the year to be closer to the first half, but I don't think last year, I think 65% of our work or so on the wireless business was done in the second half. I don't think you're going to see that kind of skew based on the work plan that we have with the approval that we have, but what we need to complete in '11. The only way that changes is if there are considerable more dollars invested in CapEx related to the wireless business for the back end of the year, which we don't know. So we're expecting solid growth in the business in the back end because even at the first half numbers, it's nice growth in the second half, but we're not expecting a very back-end skewed year in the wireless business.
Operator: We'll go next to the Noelle Dilts with Stifel, Nicolaus.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: I was hoping you could give us a little bit of clarity on your orders. It looks like orders were over $1 billion in the quarter, and I was hoping you could give us a little bit of an indication of how much of that was acquired, and if that includes the AT&T generation win as well.
Jose Mas: So a couple of things. On the acquisitions that we did during the quarter, we did not include Halsted in backlog calculation because it was closed right at June 30, we'll include that in the third quarter. The 2 smaller acquisitions that we closed really didn't impact backlog in any meaningful way. EC Source, which we have previously talked about at the beginning or beginning of the year in the first quarter, we added 18 months worth of backlogs for them, what they currently have in contracts, so that did affect somewhat the backlog numbers from a Q1 to a Q2 comparison. And Fabcor, which was the other acquisitions that we closed in the second quarter, which we talked about in our first quarter call, added a little bit to backlog, but again, not a very meaningful number. So truly, most of the growth in backlog was organic. One of the comments that we did make on the call was that our pipeline backlog today is actually just greater than where it was at this time last year. The reason we think that's important is because at this time last year, virtually the entire Ruby project was in backlog. So for us to have not just completed the Ruby project, but more importantly filled that backlog back up to where it was prior to the Ruby job, we think is a huge feat. Now some of that work will be longer in nature than Ruby. Ruby was a 6 to 9 month project. Some of the backlog embedded in our pipeline business today is 12 to 18 months, but it's definitely a great sign. So I think acquisitions were probably, if I have to guess, somewhere around the $150 million of the backlog increased number.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: And then the 750 megawatts of wind work that you indicated at, look like your 1, is any of that included in the backlog?
Jose Mas: The answer is most of it is not because it was not a fully-signed contract by the end of the quarter, but approximately, couple of hundred megawatts were included.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: And then my second question is on your revenue guidance. I'm just hoping to get a little bit more granularity. You're looking at a pretty solid sequential uptick, but you got a lot of the Ruby project rolling off. Can you just talk about some of the moving pieces there sequentially? What you're expecting in terms of if you're looking at kind of what typically drives your seasonal uptick in the third quarter with the wireless, if you're looking at flattish wireless, what are some of the other pieces that you're looking at really picking up in the third quarter?
Jose Mas: So 2 things. One, as it relates to wireless, we're not saying that wireless is going to be flattish with last year. We're saying wireless is going to be flattish with the first half of this year. So we look -- we actually expect significant growth in the wireless business in Q3 over Q3 last year. So that will drive -- when we talk about 24% growth to 23% growth in Q3 over last year, some of that is definitely driven by wireless. Our pipeline business, even though we won't be predominantly on the Ruby project, we actually expect a very good third quarter. Ruby was a smaller number in Q3 last year than it was in Q4, and we actually are expecting a very good pipeline finish to the year, even though we don't have Ruby. And I think that the other variable in there that was not in last year's number that is in this year's number is EC Source, which is obviously helping the back end of the year as those transmission projects kick in.
Operator: We'll hear next from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co.: I don't know where the interest is, but could you give us a sense to what backlog looks like by your reporting segments anyway? Or your revenue segments?
Jose Mas: John, we haven't provided that. It's something that we're looking at potentially providing here very soon in future quarters, but we actually don't have that handy.
John Rogers - D.A. Davidson & Co.: Maybe ask it in a different way, in terms of your business going forward, it was a -- traditionally, it looks like the MSA work has been about 55%, 60% of revenue and discrete projects the remainder. Is that, especially to go out into 2012, and looking at the pipeline transmission work, is that going to change?
Jose Mas: John, quite frankly, we hope it does. We're still in the 55% range of MSA. We're always going to be -- have a high percentage of MSA because a number of our large businesses are MSA-driven. So when you look at our wireless business, our DIRECTV business, those are really MSA contracts, and they're so large that they obviously help drive that MSA number. And our MSA is always going to be a significant piece as our project work continues to grow in the future, project continues to become a bigger piece at it has over the last couple of years, and we do expect as a percentage of our business projects to pick up. But we don't think it's going to be 70% or 80% projects either, but it will grow from where it is today.
John Rogers - D.A. Davidson & Co.: And the project business gives you a little bit higher margin than the MSA with a little more volatility, is that fair, quarter-to-quarter?
Jose Mas: In depends on the industry. So we have some MSA business areas that do really well, so I don't know that you can make a general statement like that. You can say that obviously, within the transmission of the pipeline business, a lot of that project work is above our company average margin, so to the extent that those are the type of projects that you're growing your backlog with, that's obviously very good.
Operator: Our next question comes from Veny Aleksandrov with Pritchard.
Veny Aleksandrov - Pritchard Capital Partners, LLC: My first question is, and you briefly mentioned, but I just want to make sure, how much growth from the acquisition that you guys made in Q1 and Q2 are you factoring? Can you forecast how in you guidance for 2011, if any?
Jose Mas: If you look at the acquisitions that we made post-Q1, because we actually talked about a few of the acquisitions in the first quarter and really, because they had already closed at the time of our last call or we're in the process of closing. So some of those, for example, EC Source has really been in our guidance since we issued guidance the first time for 2011 because we knew we were going to exercise the option. So if you take the acquisitions that we really haven't talked or the ones that we closed and disclosed after the first quarter call, I think annual revenues for those entities are somewhere in the range of about $100 million, and we've taken, you could say, $45 million to $50 million for the balance of the year and included that.
Veny Aleksandrov - Pritchard Capital Partners, LLC: And then my second question is on the pipeline business. And did you ever feel the shales? Are you looking to expand in new areas and are there indications from clients that there is sufficient interest in your areas where you are not present?
Jose Mas: Absolutely. And I think we did discuss that a little bit on our first quarter call. For example, we now have a presence in the Bakken Shale, we have a physical presence there that we opened earlier this year. We think that, that's going to be a great area of opportunity for us. As the different shales have really expanded and opened up, we've been there, we've been there early, which I think is why we've been so successful. So yes, we will work hard to expand on all new shales and all shales that are being developed further both in the U.S. and Canada.
Operator: We'll go next to William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: I was wondering if you could provide some color on the pipeline business. Besides, and we all know that a lot of the large scale pipelines are constantly getting deferred and for regulatory issues, and you do quite well with the sort of base-hit type smaller tranches there. Could this potentially lead to maintenance services, longer term for your underlying business as if -- because you are setting up some localized, almost like a QRC type facilities to service them?
Jose Mas: Absolutely. And I -- we haven't really discussed it, we haven't I guess made a big deal of it. It has the potential of being a very large opportunity. A lot of it has to do with ultimately regulation and what are -- the provider is ultimately responsible for doing under existing pipelines and how much is that really enforced, and I think that's what's going to drive the business long term. I absolutely think that it's going to happen. The question is when, and are we really going to see that next year, 2 years, 5 years? So I think we've been a little bit more cautious in talking about it until were really start seeing some of that type of work move the needle.
William Bremer - Maxim Group LLC: And also backlog, quite impressive. Can you give us some color regarding the pricing of that backlog and by segment how has it been, say over the first quarter and how has it been say year-over-year?
Jose Mas: We talked a little about it in our first quarter call. I think when you look at late '10, early '11 we were kind of seeing stable -- stabilized prices. We weren't necessarily seeing big reductions in pricing, but we weren't seeing big increase in pricing either. So we're still confident and hopeful that as capacity continues to get eaten up in some of these different industries, we're going to be afforded the opportunity to slowly raise our prices, but quite frankly, I don't think we really seen that in any meaningful way yet.
William Bremer - Maxim Group LLC: Jose, have you had to renegotiate any backlog type pricing because of capacity issues?
Jose Mas: No.
William Bremer - Maxim Group LLC: And can you give us a figure on what did Precision, what was their contribution to the second quarter?
Jose Mas: We don't break out the different business units from a revenue perspective or a margin perspective. I think what we did say is the Ruby pipeline was about $88 million of our quarterly revenue. Obviously, Precision does do a lot of shale work, so that was not their revenue, but the Ruby job was $88 million.
Operator: Our next question comes up from Theodore O'Neil with Wunderlich Securities.
Theodore O'Neil - Wunderlich Securities Inc.: Jose, you've done so well in the pipeline side of business. I'm wondering what your limitations are there in terms of getting even more market share and if there's a CapEx impact for that.
Jose Mas: Our philosophy is we're going to try to chase every project that makes sense that we can handle from a quality of workmanship and an issue of safety of our people. And we're definitely growing our resources. We talked about adding 2,400 people over the course of the last 3 months. A large number of that was in our pipeline business, so we are rapidly expanding that business, and we hope that over time, we'll continue to build that business. We think there's going to be great opportunities. We think we're really just seeing the beginning of what will be a big shift to natural gas anyway, as another source of energy. So we think we're in very early stages of what's going to be a long term build out. CapEx, to the extent that we're very successful, yes, it does have a impact on CapEx. I think that's part of the reason that we're probably spending a little bit more this year than we have in years prior. We're very bullish about where we think that business can go, so to some extent, we're going to be wise about our purchases, but if the work shows up, we're going to go out and get the equipment necessary to execute on that. So yes, it does drive CapEx a little bit. We feel very good about our capacity to continue to grow that business and what our capabilities are in terms of getting a lot larger than we are today in that business, and our intent is to execute on that.
Operator: We'll go next to Liam Burke with Janney Capital Markets.
Liam Burke - Janney Montgomery Scott LLC: You mentioned that you had to step up pretty precipitously on the wireless side with the demand ramping so quickly. Have you had any problems in terms of learning curve with the new personnel in terms of additional expense or extended intervals on your installation commitments?
Jose Mas: So I think that what we've been saying, I guess on this call, is there's no question we had inefficiencies, if that's the question. When you hire that many people, and you go through a process of training, go through a process of them learning, they may be very qualified, but they've got to learn how to do the work in the manner in which you're doing it and your customer wants you to do it. So there's no question that those hires that we made during the quarter were not as efficient as we hope they can ultimately be or that what we would expect. Our customer has been very vocal about their issues and their network and the amount of money that they're investing in their networks to make their network the best in the world. And we're really trying to help them do that and to the extent that they feel they need to accelerate some of that and get certain sites up quicker than others, we've been very accommodating.
Operator: Our next question comes from Adam Thalhimer with BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: Jose, backlog's up 30% year-over-year. Your pipeline backlog is flat year-over-year, which is no small feat in this environment. Your share counts down, you've done a good job managing SG&A. Is there a scenario where EPS can be up year-over-year in the back half of the year?
Jose Mas: You know it's not what we're guiding to. I think, large projects obviously, have large impact. So to the extent that we were awarded a onslaught of large projects, and we're able to complete enough work in the final part of the year, then you can obviously do better. I don't think that's our expectation today. I think what we've learned over the last couple of years is that projects have a life of their own and end up taking a bit longer than you would hope to kick off, and I think we've built that into our models.
Adam Thalhimer - BB&T Capital Markets: And then I wanted to ask quickly about the free cash flow. It dipped negative this quarter. Bob, maybe you can talk about your expectations for cash flow in the back half of the year.
C. Campbell: As we commented, we had frankly, in addition to the revenue growth, we had a more than proportionate growth in receivables. That's how we got the 70 days. And every day is worth over $8 million in cash to us. So currently, about what we're willing to say at this point is we'll be back in the 60s. From what I said, what I didn't see getting down to 60. So we will get some pick up in the second half of the year on the receivables front. The worst might be over in terms of inventory build. We have a lot of actually a lot of wireless inventory build, some of it with LTE build, and that may subside. So we're going to have better cash flow in the second half of the year primarily due to the lower AR and maybe lower inventory. And actually in addition to that, most of the earn-out payments, almost all of them have been made for the year, so cash flow will be better.
Operator: Our final question comes from Peter Chang with Credit Suisse.
Peter Chang - Crédit Suisse AG: I just had a question on Q4 implied revenues, and why they are low year-over-year, especially since we've got EC Source in there, some other acquisitions. The pipeline business remains solid despite, and I understand there's no Ruby anymore, but it sounds like backlog is solid or flat compared to where it was last year. Wireless should be up year-over-year. Is there something we're missing? I know renewable is supposed to be weak, but is there something like, is DIRECTV the other bogey or is there a level of conservatism baked in?
Jose Mas: Couple of things, I think that if you look at implied guidance, it's not down, but it's flat. If you look at what our Q4 implied guidance is versus last year, Q4 of 2010 included $155 million of Ruby revenue, which is a big number. Obviously, it was I think the peak of the Ruby job, and I think, based on that, and we're going to make up that entire Ruby job revenue for Q4 of '10 and '11. And again, I think we talked a lot about the things that we haven't put into any Q4 guidance that could potentially be upside, so we'll see what happens.
Operator: And we have no further questions in the queue.
Jose Mas: Again, we'd like to thank everybody who supported us and shown interest in the call today. We look forward to our Q3 earnings announcement and being able to update you again on our business. So we'll talk then. Thank you.